Wang Liancheng: Dear investors and analysts, good afternoon. I'm Wang Liancheng from Corporate Strategy and IR Department of ICBC. Welcome to ICBC's 2024 Interim Results Announcement. This conference is broadcast online. We are also happy to have some of the investors and analysts with us in person. I'd like to introduce to you the senior management members joining today. President, Mr. Liao Lin, Senior Executive Vice President, Mr. Jingwu Wang; SEVP, Mr. Weiwu Zhang; SEVP, Mr. Duan Hongtao; SEVP, Mr. Zhang Shouchuan; our directors, Herbert Walter and Murray Horn participated in this meeting in person. Our directors, Lu Yongzhen, Feng Weidong, Chen Yifang, Dong Yang, and Shen Si participate online. We also have general managers from departments and subsidiaries here with us. Next, I'll give the floor to SEVP and Board Secretary, Mr. Duan Hongtao to brief you on ICBC's interim results and the main features.
Duan Hongtao: Dear investors and analysts, good evening. In the first-half of 2024, with complex external environment, we pursued progress while ensuring stability advanced the five transformations of intelligent risk control, modern layout, digital driver, diversified structure and ecological foundation and promoted its own high-quality development with serving economic recovery. Our main performance indicators maintained stable and operating results grew steadily with improved quality. It's demonstrated in following three aspects, first maintaining stable operation and demonstrating operating and development resilience, core performance indicators were stable. The market-leading position by the end of half year, total assets were more than RMB47 trillion continuing to lead the world. Loans to customers recorded nearly RMB28 trillion, up by RMB1.8 trillion over the end of last year due to customers was more than RMB34 trillion, up by over RMB580 billion. Sound performance. Operating income was RMB402 billion, and net profit, RMB171.3 billion, maintaining the leading level among domestic banks. ROA and ROE were 0.75% and 9.53%, respectively, remaining at a reasonable level. NIM was 1.43%. Cost-to-income ratio was 24.79% maintaining stable foundation for operation. Capital adequacy ratio was 19.16%, maintaining the forefront among major banks around the world. NPL ratio was 1.35%. Allowance to NPLs was 218.43%. In 2023, the dividend totaled RMB109.2 billion, continuing to have the highest cash dividend among A share listed companies. Based on the average share price of half one year, dividend yields for each share are 5.79% and 7.97%, respectively. This year, we actively promote interim dividend, planning to pay RMB51.1 billion in the next January. So as to provide stable and sustainable returns for shareholders. Second, assets and liabilities growing steadily and the quality and efficiency of services for the real economy improved. In half one year, assets grew steadily. The balance of loans to customers increased by 6.7% over the end of last year, and the balance of bond investments increased by 9.8%. Deposits saw solid growth, of which personal deposits increased by 5.8%. The deposit deviation was improved, was the lowest in the corresponding period in the last five years, continuously optimizing the credit structure and taking solid steps to boost five priorities. Corporate loans increased by RMB1.37 trillion, which were more targeted. The bank activity accelerated the transformation of the real retail business by raising the proportion of retail inclusive loans, personal business loans and personal consumption loans, maintained high growth. We actually served the five priorities. Loans to strategic emerging industries balance was RMB3.1 trillion, up by 15%. Loans to site and enterprises RMB2.1 trillion, up by 19%. Green credit was over RMB6 trillion, up by 14%. Inclusive loans, over RMB2.7 trillion, up by 22%. Pensions under management RMB4.5 trillion, up by 8%. Loans to core industries of the digital economy totaled RMB911.1 billion, up by 16%. Third, deepening operation transformation and innovation and enhancing drivers of high-quality development. For half one year, we accelerated reform and improved the transformation framework deepened the transformation contents and upgraded the transformation measures and work to realize the effective improvement in quality, Hebei business has continued to strengthen. Corporate banking. Corporate loans totaled RMB17.5 trillion. Corporate customers numbered 12.85 million. Loan to manufacturing exceeded RMB4 trillion, all leading peers. Personal banking. Personal AUM totaled RMB21.8 trillion. The number of private banking customers, the total amount and increment of AUM, the number of personal pension accounts opened and the total amount of contributions to all led the industry. Institutional banking, institutional deposits was RMB8.4 trillion leading the industry. We received a double excellence rating the evaluation of centralized payment agents organized by the Ministry of Finance for the sixth consecutive year. Market business, AUM exceeded RMB30 trillion. Domestic assets under costly recorded CNY 24.5 trillion. We led the industry in bond investments, underwriting, foreign exchange trading on behalf of customers market making, making new progress in the development of the ICBC. ICBC continued to improve three external and three internal platforms, strengthen the two supporting systems of business and data, accelerate the digitalization and intellectualization by serving customers and empowering our own employees. For the external platforms, MAUs of mobile banking exceeded RMB230 million. MAUs of ICBCE life were over RMB17.4 million trading volume of open banking over RMB200 trillion, improving customer experience. Continuing to optimize the customer ecosystem and implementing GBC past projects in depth, we accelerated the integration of four chains: Fund, customer service and value chains, strengthening the customer base. Personal customers totaled almost 750 million, up by 9 million over the end of last year. Mobile banking customers totaled over 460 million, up by 12 million, leading the industry. Asset quality, maintaining stable and the quality and efficiency of enterprise risk management enhanced, ICBC continued to enhance enterprise-wide risk management system and mega risk coordination and improved risk offers and mechanism, accelerate risk control intellectualization, all risks are controllable, asset quality stable. By the end of June, group-wide NPL ratio was 1.35%, down by 1B over the beginning of this year. Credit cost was 0.7%, maintaining a sound level. Risks in key areas were effectively addressed. Real estate NPL ratio continued to decline supporting local governments in preventing and resolving debt risks based on law and market rules. For small and medium-sized banks, we provide technical and professional support. Dynamically integrating the ESG concept into operation development. We further strengthened the ESG governance structure, continued to build a three-in-one ESG information disclosure system. ICBC's MSCI rating was AA, leading domestic peers. Looking ahead to the second-half of 2024, ICBC will remain committed to the path of financial development with Chinese characteristics, focus on advancing five transformations and strive to achieve a dynamic balance of value creation, market position, risk control and capital constraints. The bank will embark on the new journey for ICBC after its 40th anniversary with achievements in high-quality development and deliver stable and sustained returns to shareholders from home and abroad.
Wang Liancheng: Thank you to Mr. Duan. Now is the Q&A session. Please state your name and organization before asking the question. The first question from this side.
Q - Unidentified Analyst: Thank you for the opportunity to raise the first question. I'm from UBS. I would like to ask you a question about the income and net profit. In the first half of the year, we have seen the entire banking sector still faces pressure of income and net income of ICBC has also decreased by 2%. So what measures have you taken -- will you take to stabilize operating income and profits in the second-half of the year?
Liao Lin: Thank you for your question. In the first-half of 2024, ICBC achieved a net profit of RMB171.3 billion, a year-on-year decrease of 2%, as you mentioned in your question. This is in line with the offer trend of the domestic banking industry, because we have large sum. But we think this deviation is still within our expectation. And also the interim dividend payout is also a good demonstration of responsible listed company for ICBC and which is also our goal to pay sustainable return to our investors. The first-half of the year, the decline of our net profit is highly relevant with the macro interest rate environment and also at the current stage. And this is also a situation currently facing the entire sector. So for the whole year, although we still have pressure in terms of operating income and net interest margin, we have seen some positive changes, and you will provide strong support for stabilizing annual net profit. First, deposit interest rate declined compared with the beginning of this year, and the stability in deposit growth significant improved, benefiting from audible reductions in deposit benchmark interest rate. The deposit cost now in the first half is 1.84%, down by 5 bps compared to last year. And by the end of July, we lowered our deposit benchmark to 5 to 20 bps, so which will further drive our decline in terms of our deposit costs in the first half of -- in the second-half of this year. So in the first-half, we have seen very high-quality deposit growth. The deviation of our deposit is 2.2%, the lowest in nearly five years. At the same time, we have also optimized the deposit structure and the liability with lower cost has increased proportion. Secondly, our asset structure continues to optimize. In the low interest rate environment, we have continuously strengthened adjustment of the asset structure and focused on high quality development of the -- to serve the rare economy. Efforts we made to stabilize the year margin. In the first-half of the year, the loans and bond investments, which have higher yields increased by 0.7 percentage points and 1.1 percentage points, respectively. In the first half of the year, yield on interest-bearing assets decreased by 5 bps, a smaller decline than in the first quarter. Furtherly, more diversified income source is steady improvement in operating income contribution. Based on the main contraction, we have realized a net fee income of RMB67.4 billion, with the total amount remaining the highest in the industry domestically. So with the average above mentioned, the compression of our net interest margin has been slowed. This can demonstrate the resilience of ICBC. And among our fee income, our income from the investment banking syndicate. Sports ForEx trade and the RMB corporate settlement has witnessed a very good growth and we have also seized the trends to realize other noninterest income, which totaled RMB20.6 billion, increased by 12%. So we have made achievement in this regard in the first-half of the year, and we will continue to do so in the second-half. Fourthly, the stable asset quality continuous enhancement of risk resistance capability. By the end of June, the NPL ratio of ICBC was 1.35%, 0.01 percentage points lower than Q1 end last year. And the provision coverage ratio is 218.4%, up by 4.5 percentage points. Total provision balance was RMB954.2 billion, increased by RMB70 billion. And the loan impairment provision is RMB819.9 billion, increased by RMB63.5 billion. So as you can see, the loan provision ratio is up and all those index can show ICBC has played our due part in terms of the leading role to provide support to the real economy. In the second-half of the year, we will continue to deepen structure transformation, effectively prevent the control risk, strengthen asset liabilities, promote operating income and push forward reforms by actively adapting to the interest rate in form with -- strived to serve the high-quality development of the real economy and also create long-term stable value returns for shareholders. Firstly, implement multiple measures to stabilize the interest margin and strive to narrow the decline in the net interest income. On the asset side, we continue to take proactive steps to excel in the five key financial areas supporting the development of new quality productivity, strengthen the credit supply capacity to the key strategies, key areas and weak links, while maintaining our leading advantages in manufacturing, emerging industry, green finance and private enterprises accelerated the increase in the proportion of return, inclusive loans on the liability side and to close the funding loop continues to promote the GBC Plus foundational projects focused on the source and the flow of funds, strive to increase the retention of low-cost settlement funds, focused on key scenarios of strengthen the competition for current funds and that embed duration management into the entire deposit management process, promote a healthy interaction between savings and AUM, ultimately reduced the proportion of high-cost liabilities and ensure a stable, yet gradual decrease in the deposit rate. Secondly, accelerated transformation financial services, improved new infrastructure services such as clearing, settlement, payment and cost, deeply delving into the growth potential of the four new business areas, investment banking, asset management, wealth management and financial trading. Using the value ecosystem chain of investment banking, asset management, wealth management, financial trading to invigorate the traditional balance sheet and provide more effective support for revenue growth. In corporate business, the combination of commercial and investment banking products to create a comprehensive service ecosystem, promote revenue growth in investment banking, syndication custody and bond underwriting through customer sharing and business synergy. In basic services continues to improve the construction payment settlement and consumption scenarios and promote revenue growth in credit cards, third-party payments and RMB settlement products. In Wealth Management, enrich the product portfolio based on market rotations to meet customers' drivers' needs for financial asset, participation and appreciation, further stimulating the growth potential business like fund distribution, wealth management distribution and precious metals. Thirdly, asset quality. We will continue to enhance our risk control and also seized the opportunity of some positive signals we have seen to better control the cost. On one hand, we will continue to enhance our risk control and to ensure the overall asset quality, stable momentum. And on the second, we also continue to enhance our deserve treatment and disposal of non-performing loans, so as to create a more coordinated new balance between income and expenditure. Thank you.
Wang Liancheng: The next question.
Junliang Chen: Thank you for the opportunity. I'm Junliang from Guosen Securities. My question concerns the growth. Recently, we have observed that banks seem to face loan growth decline, decrease from scale, mix and pricing brief us with the half one year situation? And also, regulators have changed their wording about scale. So do you plan to reduce your loan growth plan for full-year?
Wang Liancheng: I'll invite Mr. Zhang Shouchuan to answer the question.
Zhang Shouchuan: For half one year situation, we follow the macro policies, coordinate pace strength, focus of investment and financing, accelerated rejuvenation of outstanding fund and promote the transformation and upgrading of loan mix. In serving the real economy in its recovery, we have played the role of major force in Encore. First, scale an outstanding, both the peers, the domestic RMB loans balance was over RMB26 trillion, up by RMB1.74 trillion achieving a continuous growth on the high base. Second, loan growth was more targeted. The domestic branches corporate loans was up by RMB1.4 trillion, of which the medium- and long-term proportion was 72%, up by 3 percentage points year-on-year. We increased our support for 5 priorities, to majors, to new manufacturing, food, energy, resources security. The emerging -- strategic emerging industries loans balance was over RMB3 trillion, manufacturing over RMB4 trillion, green loans over RMB6 trillion. Specialized in new loans, inclusive finance, agricultural loans were both grew over -- by over 10%. We follow the policies of our real estate market, high-quality developments and support financing coordination mechanism for urban real estate markets, help the stable and healthy developments of the property market. Third, the momentum continued to pick up. We actively sensify the people's consumption need. The domestic non-mortgage loans was over by RMB300 billion year-on-year growth. The -- we adapt to the economic transformation upgrading, the relending of the loans to rejuvenate the outstanding loans was over RMB2 trillion, increasing the effectiveness of fund allocation. Fourth, the pace of growth was balanced. The daily average of increments of RMB loans was over RMB2.1 trillion, up by 9%. We crossed the year and quarter and achieved stable growth. For the second half of the year, the Chinese economy operates stably and making progress, continue the recovery. So the robust monetary policy is focused on steering commercial banks to keep a reasonable growth and balanced growth of loans. So for the future of the Chinese economy and for our own high-quality development, we are fully confident. In the second-half of the year, we will continue to implement macro policies and promote the stable and reasonable growth of loans and according to market changes, we will steer the goals of loan growth, maintain our competitive net edge, improve our capability of serving the real economy and continue the leading position. First, we will continue to focus on serving the major strategies and high-quality customers. We will use the group's comprehensive financial advantage to support the major strategies, fields and weak links when enhancing the foundation, we will create new growth points. We will do good in ensuring timing delivery and the guaranteed housing to help the new mode of real estate markets. We will reasonably enhance our support for medium- and long-term loans to the major projects. Second, we will continue to provide higher quality and more diversified retail finance services. We will continue our support for personal consumption, personal business loans and credit card and other retail and inclusive loans, and increase their proportion in the loan mix. We will adjust the loan mix about mortgage loans in the second-hand houses. Third, we will continue to optimize the mix of the credit resources. For the high-quality assets, we will continue to strengthen our NPL disposal and coordinate the development among regions and increase the coordination between loan growth and economic development of the regions. Thank you.
Wang Liancheng: Thank you. Today, we also are joined by many analysts and investors online. So next question from online.
Richard Xu: Thank you for the opportunity to raise the question. I'm Richard from Morgan Stanley. My question consists about the asset quality. Visible to view of the macroeconomic, the offer assets quality of ICBC maintained a stable level. Looking forward, we still face pressure of further slowdown of the macroeconomic. So what's your view on your current asset quality level? And what key areas do you think it needs further focus and attention? And we all pay a lot of attention to the risk in the real estate sector. So what's your view in this regard?
Wang Liancheng: Thank you. I'll invite Mr. Wang Jingwu to answer this question.
Jingwu Wang: Thank you for your question about the asset quality. In the first-half of 2024, ICBC strike a balance between high quality development and high-level security. We focus on the main themes of risk prevention, compliance enhancement and development promotion. We have tightly managed the credit risk across the entire scope and cycle. Risks in key areas have been resolved in an orderly manner and the quality of credit assets has remained stable and controllable. As of the end of June 2024, as business NPL ratio stood at 1.35%, a decrease of 1 basis point from the end of the previous year. From a business segment perspective, the asset quality in the corporate sector has continued to improve. The overall NPL ratio for domestic branch corporate loans was 1.63%, down by 14 bps compared to the end of last year. The NPL ratio for all major industries have also seen very decrease of decline since the beginning of the year with notable reductions of 40 bps in the manufacturing and wholesale and retail industry. While the NPL ratio in the retail segment has increased due to the slowdown of economic growth and income household, but the overall asset quality remains at a relatively good level. In accordance with early prevention principle, we are taking multiple measures to enhance smart risk control, recovery mechanism and disposal of NPLs. In terms of the risk in the real estate sector, we have long adhered to a prudent and cautious business philosophy following the 3-in-1 asset selection criteria that consider region, customer and project. We focus on building a diversified and balanced real estate investment and financing structure, reasonably controlling the proportion of real estate in the total loan portfolio and strictly managing the proportion of loans to individual real estate company. In response to the new characteristics and situations that have emerged in the real estate sector in recent years. ICBC has adopted a comprehensive approach focusing on increasing, preventing, mitigating and managing risks by optimizing new investment and helping to establish new development models for the commercial real estate sector effectively managing existing assets increasing efforts to reserve and clear risks associated with high-risk enterprises and projects. As of the end of June, the balance of corporate loans, development loans -- domestic development loans, the balance is RMB852.1 billion only accounting to 3% of the total loans and NPL ratio of the developer loans down -- was down by 2 bps over -- as stability of our developer loans was quite stable. Additionally, sufficient provisions have been made for risk loans to fully cover potential losses and risks. Looking ahead, in the second half of this year, we will continue to adhere to the goal of stable development, strengthen the security development line and act as a stabilizing force in maintaining financial stability and leveraging higher level risk management to support high-quality development. We will enhance management empowerment, continues to strengthen the bank-wide risk control system, optimize policy support, accurately manage key area loan placements and improved asset allocation capabilities. Additionally over deepened digital and intelligent empowerment continuously advanced construction of an enterprise-level intelligent risk control platform utilizes early warning capabilities for practical application achieving forward-looking and precise risk management.
Wang Liancheng: The next question is from online.
Jia Wei Lam: Thank you for the opportunity to raise questions. I'm Jia Wei Lam from HSBC. I have a question regarding capital and dividend. We have noticed that ICBC has relatively high capital adequacy ratio. Do you have any capital plans in the future? Now the sector is facing the NIM compression pressure, how do you balance the relationship with -- between capital adequacy, asset growth and dividend stability and how do you create sustainable returns for shareholders?
Wang Liancheng: I'll invite as SEVP, Mr. Duan Hongtao, to answer the question.
Duan Hongtao: At present, ICBC's capital is well managed. The capital plan is already implemented. In the first-half of the year, our principle is internal, external and balanced we actively promote commercial banks, capital management guidelines, implementation. We use retained earnings as the main channel to replenish capital. We optimize capital management and increased capital efficiency. At the end of second quarter, ICBC's power was 19.16%, CET1 and Tier 1 capital adequacy ratio were 13.84% and 15.25%, respectively, maintaining a reasonable and robust range. In serving the real economy, strengthening risk resilience, we lay a solid foundation. First, we enhance internal capital accumulation. Our profit for the first half of the year was RMB171.3 billion. Deducted dividend and equity tools interest, we have retained earnings of RMB56.6 billion. We have been maintaining a robust profitability. We provide good returns for shareholders and investors and also achieve self-replenishment of capital. Second, we already implement external capital replenishment. In first half of the year, ICBC's CNY 370 billion capital tools issuance plan was approved by the regulator. We look into the asset development and market interest rate development trend. We already completed RMB50 billion perpetual bond and RMB50 billion Tier 2 capital bond issuance by the end of August. We implement maturity replacement of the outstanding tools. So the whole interest payment cost was reduced by 26 bp. Third, we actively implemented new rules requirements. This year, we have seen the taking place of capital guidelines in capital allocation, capital measurement and risk restraint. There are new rules, so we prioritize the capital extension to key areas, the RWA growth was lower than that of total assets, saving capital occupation achieving stable transition between old and new rules. Fourth, we actively participated in TLAC tools innovation. In first half of the year, guided by regulators and shareholders, we implemented the issuance of RMB40 billion TLAC noncapital tools, the first in domestic markets receiving high recognition from the market. As G-SIB, we have been a model for the peers and provided a new and high-quality investment targets for the market. You also raised questions about net interest margin pressure. The NIM change was changed, was influenced by macro economies and industries environment changes of NIM for ICBC is similar to other peers. Compared with the last terms data, we have seen some marginal improvements. We pay high attention to NIM management in low interest rate environment. We adjusted asset and liabilities allocation, optimize large assets allocation and stabilized net interest margin. First, we optimize loan mix and make targeted pricing. In the first-half of the year, the new RMB loans interest rate was increased by 4 bps compared with fourth quarter last year. The interest rate change was similar to the sector. Second, the deposit interest payment ratio was reduced. There are multiple positive interest factors in this regard. In first-half of the year, the new deposits interest rate was reduced by 29 bp than last year, an outstanding level among the peers. In the future, we will coordinate assets and liabilities, promote four transformations and promote net interest margin to maintain in a relatively reasonable range. Recently, we are actively implementing interim dividend, considering that our capital was adequate, interim dividend would not bring remarkable pressure to our capital adequacy ratio. With the dividend payout ratio unchanged, we reasonably increased the frequency of dividend is good for smoothening the capital adequacy ratios change. In the future, we will continue to coordinate the reasonable growth of quantity, refined management of pricing, effective improvement of quality and targeted control of risks and to construct a triangular of efficiency among the capital assets and fund so as to create a clean and healthy balance sheet and a balanced and coordinated and sustainable income sheet and increase our sustainable development capability. Thank you.
Wang Liancheng: We have published a list of the questions from investors. And all those questions may be focused on dividend payout and Mr. Duan answered this question. So last question, please.
Unidentified Analyst: I'm from Citi. I would like to ask a question about the financial marketing investment. In the presentation, at the beginning of this year, we have seen ICBC's bond investment has realized a remarkable income. So could you provide more details of ICBC's bond investment performance? And what are your future plans for expanding the bond business?
Wang Liancheng: I would like to invite Mr. Zhang, Weiwu, to answer this question.
Weiwu Zhang: Thank you for your question. At the end of June 2024, as bond investment balance had increased by 9.8% compared to the end of last year, with the balance of RMB bond investment growing by 10.4%, while maintaining a strong focus on government bond investments and ensuring a market-leading scale in key categories such as local government bonds, ICBC has optimized the structure of credit bond investment around the five key financial areas. From January to June, the growth rate of new RMB corporate bond investment in key areas such as advanced manufacturing, technological innovation and green environmental protection exceeded 60% year-on-year. Additionally, ICBC has actively provided quotation and market-making services to both domestic and foreign investors, striving to enhance the activity and the liquidity of the domestic interbank bond market. At the end of June, the bond trading volume between us and overseas institutional investors increased by 35% year-on-year, consistent with the growth rate of our bank's bond market-making volume. Recently, the Central Bank has made some new movement. And also, we have seen some new changes in the demand and the supply of bonds. So looking ahead, ICBC our bond business based on the principles of sufficient strength, steady pace, optimized structure and a sustainable pricing, striving to achieve a balance between functionality and profitability to make greater contribution to serve the real economy and high quality development of the bank. So firstly, to provide comprehensive support for the real economy, we will continue to optimize account and portfolio structures, strategically allocating investment types, maturities and currencies to balance liquidity, security and profitability. Efforts will be made to enhance the revenue contribution of bond investment and trading, aiming for high-quality deployment. In terms of support for key areas, we will deepen our focus on the key -- five key financial areas by increasing investments in the major strategies, key sectors, important regions and weak links. Secondly, we will show our market-making responsibilities. We will continue to be committed to our role as a market maker, helping to ensure the efficient operation of the domestic bond market. We will comprehensively improve market-making service levels, strengthen market research analysis and judgment capables’ and aim to increase trading business income, while maintaining market liquidity. Efforts will be made to expand the range of counterparties and extend the service reach. Building on current overseas trading counterparties, we will continue to develop relationships with foreign sovereign and nonbank institutional clients. At same time, the bank will work closely with financial infrastructure regulation, regulatory bodies to optimize bond market regulation and maintain good trading order. Firstly, we will also try to -- we will aim to fully leverage synergies between bond underwriting and investment facilitating interconnected growth in these areas. We will continue to integrate our customer business talent, technology and brand advantages to continuously optimize the ecosystem of bond issuance and the distributors. On one hand, we will appropriately lower the credit focus of domestic issuers, while supporting more high-quality issuers such as foreign center banks, international development institutions and multinational corporations to issue bonds domestically, thus helping to enhance the role of RMB as financing currency. On the other hand, we will continue to refine our bond distribution network, enhanced distribution efforts and capacity and achieve differentiated management of risk appetite for bond investment and distribution. This will support the interconnected development of the primary and the secondary bond market and improve the market layered bond market system that integers investment financing.
Wang Liancheng: Due to limit of time, the Q&A session will close now. Thank you for the questions from our investors and analysts. If you have further questions, feel free to contact our IR team. Please provide support to ICBC, as always, and we will also continue to achieve stable operation of ICBC so as to deliver stable returns to ICBC. So this is the end of the interim results announcement. Thank you, again.